Operator: Ladies and gentlemen, thank you for standing by. Welcome to Gamida Cell's Conference Call for the Third Quarter 2022 Financial Results. My name is Shannon, and I'll be your operator for today's call. Please be advised that this call is being recorded at Gamida Cell’s request. Now, I would like to introduce your host for today's conference, Heather DiVecchia, Gamida Cell’s Director of Investor Relations and Corporate Communications. Please go ahead.
Heather DiVecchia: Thank you, Shannon, and good morning, everyone. Welcome to today's call during which we will provide an update on the company and review our financial results for the third quarter of 2022. Earlier this morning, we issued a press release summarizing our financial results and progress across the company, which is available on our website at www.gamidacell.com. So with me on our call today are Abi Jenkins, President and Chief Executive Officer; Ronit Simantov, Chief Medical Officer and Scientific Officer; Michele Korfin, Chief Operating Officer and Chief Commercial Officer; and Shai Lankry, Chief Financial Officer. During this call, we may make Forward-Looking Statements about our future expectations and plans including in respect to the timing of initiation and progress of, and data reported from the preclinical and clinical trials of our product candidates, regulatory filings, including the review of the BLA for Omidubicel by the FDA, commercialization planning efforts, the potentially life-saving or curative therapeutic and commercial potential of Gamida Cell’s product candidate, including GDA-201 and Omidubicel, and our expectations regarding our projected cash, cash equivalent, and investment to be used for operating activities. Our actual results may differ materially from what we project today due to a number of important factors, including the impacts of COVID-19 pandemic on our operations, the scope, progress and expansion of our clinical trials and impact to the cost thereof, clinical, scientific, regulatory and technical developments, those inherent in the process of developing and commercializing product candidates that are safe and effective for use as human therapeutics, and in the endeavor of building a business around such product candidates, as well as those considerations described in the Risk Factors section of our most recent quarterly report on Form 10-Q and other filings that we make with the SEC from time-to-time. These forward-looking statements represent our views only as of today, and we caution you that we may not update them in the future, whether as a result of new information or future events except as required by applicable law. Now, I would like to turn the call over to our recently appointed President and CEO, Abi Jenkins.
Abigail Jenkins: Thank you, Heather, and thanks to everyone for joining us this morning. It is an exhilarating time for Gamida Cell as we mark another quarter of meaningful progress and prepare to shift from clinical to commercial stage with the potential approval of our transformative stem cell therapy candidate, omidubicel. I would like to start off by saying how excited I am to speak with everyone today on my first earnings call as Gamida Cell's President and CEO, a role that I assumed in September. I was drawn to Gamida Cell for three reasons: the mission, the science and the team. I've worked to bring innovative therapies with the promise of addressing diseases of high unmet need for over 25 years. While many of those products made an impact through treatment or disease prevention, none have the potential to be truly curative. Our mission of developing curative therapies for people with cancer or other serious diseases is incredibly inspiring, and is made possible because of our remarkable science. Our NAM technology, both increases the number of stem cells and immune cells and enhances their functionality, enabling us to create potentially transformative cell therapies that go beyond what is possible with the existing approaches. NAM is the power behind omidubicel, our lead product candidate which has breakthrough status and is currently under priority review with the FDA with a PDUFA date of January 30, 2023. Omidubicel has the potential to transform the treatment landscape for patients in need of a stem cell transplant. Our Phase III clinical data demonstrate omidubicel significantly reduced the time to neutrophil engraftment from 22 to 12 days versus standard cord blood transplant. Neutrophil engraftment is a key predictor of patient outcomes. Earlier this month, we further showed that in real world data, omidubicel produced the shortest median time for neutrophil engraftment of any hematopoietic stem cell transplant option, including that as a match related donor source. Omidubicel achieved neutrophil engraftment in 10 days as compared with 15 to 20 days for other donor sources. We believe that omidubicel offers a meaningful new transplant option as the data support the neutrophil engraftment occurs rapidly and historical, maintaining an effect for up to 10 years based on clinical studies. In addition, omidubicel reduces total days hospitalized post-transplant, which improves outcomes while reducing costs to the healthcare system. If approved, omidubicel will be the first FDA approved allogeneic hematopoietic stem cell therapy to address an expanding unmet need for patients with blood cancers in need of a stem cell transplant. NAM is also the power behind our pipeline of allogeneic NK cell therapies, including our clinical stage therapy GDA-201. Ronit will be going into more details in this regard following my remarks. Speaking of and bringing us to the third reason I was drawn to Gamida Cell, the team. The advancement of our NAM enabled cell therapies is possible as a result of our talented team of experienced leaders like Ronit and Michelle, who have successfully developed and launched multiple life enhancing treatments in hematology and oncology, including cell therapies. We have many experienced and talented team members across Gamida Cell discovering, developing and preparing to deliver our advanced cell therapies to patients in need. Let's turn now to Q3 results. This was an important quarter marked by continued progress towards larger inflection points. Our BLA for omidubicel was accepted by the FDA and granted priority review. Beyond omidubicel, we progressed our Phase I/II clinical study evaluating a cryopreserved readily available formulation of GDA-201, our lead NAM enabled NK cell therapy for the treatment of follicular and diffuse large B-cell lymphomas. GDA-201 holds tremendous promise and we look forward to its continued progression in the clinic. Beyond GDA-201, we continue to be excited by our NK pipeline of cell therapy candidates and we believe our NAM technology increases targeting, potency and persistence of a broad range of innate and adaptive cell types, including NK cells. However, we are going to hold on selecting the next IND candidate from the NK pipeline at this time to both prioritize resources to the commercialization of omidubicel and advancement of GDA-201, as well as enable development activities on these candidates to further progress. Next, we highlighted promising preclinical and clinical results across our pipeline at multiple medical and scientific meetings, including Cord Blood Connect, the Society of Hematologic Oncology and the Society for Immunotherapies of Cancer. Additionally, we strengthened our financial position with a public offering in September 2022 raising $20 million, as well as obtaining a commitment letter for Highbridge Capital for a $25 million senior secured convertible term loan. With this capital raise and with our FDA review of omidubicel progressing on track, we are accelerating into launch mode. Michelle will provide more details on this very important initiative later on the call. I believe Gamida Cell is a company that is poised for long term success. And I want to thank my predecessor, Julian Adams, for his vision and leadership in bringing the company to where it is today. Julian leaves us an incredible legacy scientific innovation, which enabled us to develop assets like omidubicel and GDA-201. We are grateful to continue to benefit from his guidance on our Board of Directors and wish him well in his retirement. I would also like to take an opportunity to commend my new colleagues, I am continually inspired by your teamwork and dedication with our important work every day and that you're putting patients first in all we do as we advance on our mission. Additionally, I would like to sincerely thank all of the clinical trial sites and the patients and their families that have been such important partners as we advance our pipeline of NAM enabled cell therapies. We believe we have truly transformative therapy with on -- a truly transformative NAM therapy with omidubicel and we are motivated every day by the meaningful impact it can have on patients' lives. With that, I will now turn the call over to Ronit, to take us through key data supporting our NAM enabled cell therapies. Ronit?
Ronit Simantov: Thank you, Abi, and good morning, everyone. Thank you for joining us on our call. This morning, I will review our clinical data on omidubicel, provide an update on long term follow-up, quality of life and immune reconstitution data presented over this past quarter and preview our upcoming real world data presentation. I will then discuss our GDA-201 study and the rest of our pipeline. As we eagerly approach our PDUFA date of January 30, 2023, we continue to add to the body of scientific and clinical evidence demonstrating the potential of omidubicel to address unmet needs in patients undergoing allogeneic stem cell transplant. Most relevant to our regulatory submission is our successful Phase III global randomized study, which met its primary and all secondary endpoints. The study was comprised of 125 patients ages 12 to 65 with high risk hematologic malignancies who are in need of an allogeneic stem cell transplant, but had no readily available matched donor. The study demonstrated a median time to neutrophil engraftment of 12 days for patients randomized to omidubicel compared to 22 days for the comparative group transplanted with standard cord blood. These results were not only statistically significant, but also highly clinically significant, as neutrophil engraftment is a key milestone in recovery of patients undergoing stem cell transplant. This quarter, we presented long term follow-up data from the omidubicel clinical program at the Society of Hematologic Oncology or SOHO meeting, supporting the durable clinical benefit of omidubicel in the years after transplant. These data included follow-up of 105 patients transplanted with omidubicel in our Phase I, II and III studies between 2006 and 2022. The data demonstrated three year overall survival and disease free survival of 63% and 56%, respectively. Moreover, follow-up data of up to 10 years showed durable production of blood cells and immune cells, indicating sustained long term recovery of the bone marrow in patients transplanted with omidubicel. Patient health related quality of life data from our Phase III study were also presented at the SOHO meeting, and recently published in the Journal Transplantation and Cellular Therapy, the official publication of the American Society for Transplantation and Cellular Therapy. In an analysis of 108 patients who completed validated health related quality of life surveys at screening and through the first year after transplant, measures of physical and functional well-being, as well as other health related quality of life scores were more favorable for omidubicel and with control. These data suggest clinically meaningful and continual improvements in the physical, functional and overall well-being of patients treated with omidubicel. Prior to SOHO, we presented translational data at the Cord Blood Connect meeting in September, demonstrating recovery of immune cell in patients treated with omidubicel. In an analysis of the T-cell recovery in a subset of 37 patients from the Phase III trial, patients transplanted with omidubicel had more rapid, robust and diverse immune cell reconstitution, including higher numbers of recent thyme mammograms in the blood at one year post transplant compared to patients transplanted with standard cord blood. These immune constitution data may provide mechanistic support for the observation that patients translated with omidubicel have lower rates of bacterial and viral infections after transplant. While our Phase III data compared omidubicel to standard cord blood, now in collaboration with the Center for International Blood and Marrow Transplant Research or CIBMTR we have explored the effectiveness of omidubicel compared to other allogeneic transplant donor sources used in clinical practice. As recently announced, these data have been accepted as a podium presentation at the Annual Meeting of the American Society of Hematology or ASH meeting. We compared results from 52 patients who received omidubicel in our Phase III clinical trial with results from 807 patients in the CIBMTR database with similar demographic and clinical characteristics who are transplanted with other donor sources, including matched unrelated, mismatched unrelated and haploidentical donors. Our data show that omidubicel was associated with significantly more rapid neutrophil recovery and importantly, other outcomes, including graft versus host disease, relapsed and overall survival were comparable across donor sources. These real world data are the first to demonstrate the comparative efficacy of omidubicel to donor sources beyond standard cord. The abstract has been posted on the ASH website and the data will be shared at ASH in December. The new data presented this quarter continues to support the clinical benefit and safety of omidubicel and give us confidence as we prepare to bring this potential therapy to patients following FDA approval. Before turning to Michelle, who will provide an update on our plans to launch omidubicel in the U.S. market upon potential FDA approval, I would like to give you an update on GDA-201, our lead product candidates in our NK cell therapy pipeline. GDA-201 leverages our proprietary NAM technology in the expansion of NK cells to enhance functionality, tumor cell killing properties and Antibody Dependent Cellular Cytotoxicity or ADCC. Data from the investigator led study at the University of Minnesota on the fresh formulation of GDA-201 were reported at ASH in December of last year and demonstrated an overall response rate of 74% with durable responses and two year survival of 78% in heavily pretreated patients with non-Hodgkin lymphoma. Despite the recent advances in the development of therapy for patients with non-Hodgkin lymphoma, we continue to hear from experts that there is a high unmet need among patients who have active disease after treatment. Our company sponsored Phase I/II clinical study evaluating the prior preserved formulation of GDA-201 is progressing on track and we are continuing to enroll patients in the Phase I dose escalation portion of the study. The study includes patients who have relapsed or refractory lymphoma after at least two prior treatments, which may include CAR-T cell therapy or stem cell transplant. Phase I includes patients with follicular diffuse large B-cell, marginal zone and mantle cell lymphoma histology. The Phase I portion of the study is designed to evaluate the safety of increasing doses of GDA-201 with dosing similar to that in the previous investigator led study. Up to four dose levels will be tested to determine the maximum tolerated dose and recommended Phase II dose, based on dose limiting toxicities. The Phase II expansion portion of the study is designed to evaluate the safety and efficacy of GDA-201 in two separate patient cohorts of approximately 30 patients each with follicular lymphoma and diffuse large B-cell lymphoma. The Phase I is currently ongoing and we're looking forward to continuing to progress this important therapy candidate through the clinic. In our expanding cell therapy pipeline, we are also developing our genetically modified NAM enabled NK cell therapies in hematologic malignancies and solid tumors. Our novel product candidates leverage CAR and CRISPR mediated technologies to increase targeting, potency and persistence and are supported by robust preclinical data. We are evaluating multiple product candidates, including GDA-301, GDA-401, GDA-501, and GDA-601. This quarter, we announced new preclinical data supporting GDA-501 at the SITC meeting. In a poster presentation, GDA-501, a HER2-CAR NAM-NK cell displayed significantly enhanced in vitro cytotoxicity when cultured with HER2 positive cancer cells. Further, GDA-501 showed increased potency based on biomarkers and elevated level of proinflammatory cytokine compared with control cells. Importantly, increased cytotoxicity and potency were persistent. These preclinical data demonstrated potent antitumor activity of GDA-501 and support its therapeutic potential as a novel cell therapy against HER2 positive cancers. With that, I will turn the call over to Michelle who will talk more about omidubicel and our advancements in manufacturing and our commercialization plans. Michelle?
Michele Korfin: Thank you, Ronit, and good morning, everyone. I would like to reiterate how excited we are to be in this position as we are poised to bring our first NAM enabled cell therapy, omidubicel, to the U.S. market, which if approved will be the first and only FDA approved allogeneic hematopoietic stem cell therapy for patients with blood cancers in need of a stem cell transplant. The potential clinical benefit of omidubicel continues to be supported by a growing body of data that has been reported in blood for our Phase III data and in well recognized medical meetings. Based on these data, we have heard consistent positive feedback from transplanters focused on our clinical outcomes, including rapid time to neutrophil engraftment, durability of response and quality of life for their patients. As we approach the January 30, 2023 PDUFA date for omidubicel, we continue to work toward our goal of maximizing a positive patient and transplant center experience when using omidubicel as the donor source of choice. As Ronit reviewed, the data that will be presented at ASH, in addition to extensive market insight feedback, transplanters can consider omidubicel not just as an alternative to standard cord blood, but as an alternative to all other donor sources. Upon approval, we are ready to deliver omidubicel to transplant centers. We will work closely with transplant centers to make sure they have the necessary procedures and logistics in place to deliver a cell therapy like omidubicel to patients in need. Importantly, we continue to hear positive feedback from payers, recognizing the meaningful impact of omidubicel for patients potentially setting us up for well-defined paths for coverage and reimbursement. I am proud of all the work we have completed thus far to define the unmet need that omidubicel could address and have a clear launch strategy and a well-defined launch plan. As a result of the successful financing this past quarter, we are now in a position to continue building out a specialized and integrated organization in preparation for a launch following potential FDA approval. This integrated team, including commercial, medical affairs, quality and operations is focused on ensuring that we are ready to provide patients with access at the time of launch and we have now moved to launch execution. During 2023, we will be primarily focused on ramping up transplant centers throughout the U.S. As we have discussed, this will be a targeted launch as we know 70 transplant centers make up approximately 80% of the transplants. This part of the launch execution for omidubicel will be critical to ensure a positive patient experience and includes important programs such as education and training sessions and process and logistics review. Although omidubicel has a less stringent matching criteria than other sources, there is still a matching requirement. So we need to work with centers to assure appropriate chain of identity and chain of custody. In addition, at time of potential FDA approval, we will have a patient support system in place to facilitate access. Now I would like to share with you some of our market research that drives our strategy and plans of action. As a result of extensive market insight studies, we have determined two critical differentiators that can position omidubicel as a treatment of choice for transplanters and their patients. The first is driven by clinical studies and transplant experience that leads hundreds of transplanters and market insight studies to indicate that they feel omidubicel delivers better outcomes compared to other donor sources. And second, the benefit of omidubicel increasing access so patients have broader access to transplant. Let me start with improving outcomes. Improved outcome results in capturing share from current donor sources. We have learned from our extensive insights that omidubicel has the potential to capture share from all donor sources. From a donor source distribution, we know that matched unrelated donor shares approximately 45%, haploidentical approximately 22%, match related donor approximately 22%, mismatched unrelated donor approximately 7% and cord blood about 5%. Insights support share capture across all donor sources. Starting with matched unrelated donors in the United States, the key unmet need that omidubicel will address is time. It takes on average about two to three months to align an unrelated donor to the patient. That puts the patient at risk for relapse and then not being able to proceed to transplant. Omidubicel has consistently been delivered back to the transplant center in about 30 days. So this is a key aspect that would lead a transplanter to choose omidubicel over an unrelated donor. For haploidentical donors, this is a family member that is a 50% match. The challenges that omidubicel can address involve patient outcomes. Due to the partial match, hepar identical donor results in a delayed time to neutrophil engraftment, on average about 18 days according to published literature, as well as an increased risk of infection and graft versus host disease or GVHD. Although post-transplant cyclophosphamide is used to mitigate GVHD, that also introduces risk for the patient, especially due to cyclophosphamide's cardiotoxicity. omidubicel's rapid time to neutrophil engraftment of 10 days and encouraging out comes for infection rates and GVHD lead transplanters to indicate they see a benefit from omidubicel over haploidentical, which would allow for greater access. Naturally the donor challenges focus on donor age. The average age of diagnosis for an adult leukemia patient is about 60 years of age. Chances are your sibling who could be your match related donor who would also be in their 50s, 60s or 70s. Published clinical data supports the older the donor the worse the patient outcomes are. Omidubicel with our starting material being cord blood, prior to the expansion enhancement of our manufacturing does not have an age concern since our starting material comes from a newborn. A mismatch unrelated donor poses two concerns for transplanter. The partial match leads to suboptimal outcomes and the concern around the two to three months on average to align the patient in the donor. Mismatched unrelated donors have on average about 17 days for neutrophil engraftment. And again, the omidubicel clinical data and 30 day turnaround positions omidubicel to take market share from mismatch unrelated donor sources. And finally cord blood, based on the statistically significant results from our pivotal Phase III study, transplanters anticipate a strong share capture for omidubicel. Moving to increased access, it is estimated in the United States that there's approximately 1,200 patients 12 years of age and older with hematologic malignancies that are eligible for transplant, but cannot find an appropriate donor. Unfortunately, there's health disparities. If you are non-Caucasian and you do not have access to family members for a donor source, it is incredibly difficult to find a match in the public database. For example, a patient who is black has less than a 20% chance of finding a donor source in a public database. Because of omidubicel's less stringent matching criteria, we can match a diversity of patients quickly. Our Phase III demographics supported that with 40% of the patients being non-Caucasian. Most oncology clinical trials are probably under 10% of non-Caucasian patients. With the combination of improving outcomes, which means capturing share from other donor sources and increasing access, upon reaching peak market share, omidubicel has the potential to capture 20% to 25% of the addressable patient population which would equate to 2,000 to 2,500 patients per year in the United States. In turn of launch readiness, the leadership of our commercial, medical affairs and operations teams are working diligently to assure we are now in launch prep execution mode. The teams have had preliminary discussions with many of the top transplant centers to assess their needs for introducing a new cell therapy into their facilities. We have our full payer team in place for launch. Reimbursement mechanisms are also defined on both the commercial and medicare sides, including the recent issuance of the CMS ICD-10 PCS code for omidubicel potentially allowing for payers to cover omidubicel upon FDA approval without formulary review boards, which has created reimbursement challenges for other novel cell therapies in the past. A very important aspect of a successful cell therapy launch is manufacturing. We have been successfully manufacturing clinical batches at the Gamida Cell owned facility. The head of our manufacturing team, Vladimir Melnikov, brings 25 years of experience with manufacturing aseptic therapies and his expertise with bringing therapies through regulatory approvals from the manufacturing perspective. The team under Vladimir's leadership has not only developed the required processes for commercial manufacturing, but we have also validated those processes. Upon FDA approval of omidubicel, our manufacturing facility is ready. Knowing that transplant is the only potential curative option for patients with certain hematologic malignancies, January 30, 2023 will be a very important day for patients, transplanters and Gamida Cell. We have the opportunity upon potential FDA approval to provide access to omidubicel and address the unmet needs that we consistently hear from transplanters. We have a clear understanding of the unmet needs, a well thought out launch strategy and we are now executing on our launch plan. We have a great experienced launch leadership team in place that knows the importance of providing a life enhancing therapy like omidubicel to patients realizing the sense of urgency and the important role that omidubicel can play for patients with blood cancers and how omidubicel can change the way patients are treated in the future. I would now like to turn the call over to Shai to review our financial results.
Shai Lankry: Thank you, Michelle, and good morning, everyone. Today, I will summarize our financial results for the third quarter of 2022. As of September 30, 2022, our total cash position, including the recent $20 million equity financing in the close of September 30, was approximately $61.3 million compared to $96 million as of December 21, 2021. Research and development expenses for the quarter were $9.9 million compared to $11.7 million in the same quarter last year. The decrease was mainly due to $1.6 million decrease in clinical activities related to the conclusion of our Phase III clinical trial and a decrease of $0.2 million in the GDA-201 clinical program. Commercial expenses for the quarter were $2.8 million compared to $5.8 million in the third quarter of 2021. The decrease was primarily due to a $2.5 million decrease in launch readiness activities and a zero point six million dollars decrease in headcount related expenses. General and administrative expenses were $4.4 million in the third quarter of 2022 compared to $5 million in the same period in 2021. The decrease was mainly driven by a $0.6 million decrease in professional services expenses and a $0.2 million decrease in headcount related expenses. Finance expenses net were $0.7 million, both in the third quarter of '22 and '21 with no material changes. Net loss for the third quarter of 2022 was $17.8 million compared to a net loss of $23.2 million in the third quarter of last year. We anticipate that our current total cash position will support our ongoing operating activities into mid-2023, excluding the cost of commercializing omidubicel beyond the initial launch, which is now underway. Our cash runway guidance is based on our current operational strength and excludes any additional funding that may be received or business development activities that may be undertaken. With that, I will turn the call back over to Abi.
Abigail Jenkins: Thank you, Shai. Before I turn the call over to the operator for questions, I would like to reiterate how excited we are to be in this position, on the verge of a turning point for the company as we rapidly approach our PDUFA date and target action date of January 30, 2023. We believe in the compelling value proposition of omidubicel and the potential to transform patients' lives. We continue to advance our NAM enabled NK cell therapy pipeline led by GDA-201. With all that we've accomplished this quarter and this year overall, we will enter 2023 with strong momentum and poised now more than ever to deliver long term growth for all of our stakeholders. Now, let's open the call for questions. Shannon?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Edward Tenthoff with Piper Sander. Your line is now open.
Edward Tenthoff: Great. Thank you very much and congrats on all the progress. Looking forward to the upcoming PDUFA date, obviously, and really appreciate all the detail with respect to the large corporations. I'm trying to get a sense for what kind of sales force you need to field in order to cover those top 70 centers? And how many of those centers have been involved in the clinical trials and already have omidubicel experience? I'm trying to get a sense for sort of what kind of cadence to expect from some of those top sellers? Thanks so much.
Abigail Jenkins: Great. Michelle, do you want to take that?
Michele Korfin: Yes, absolutely. Good morning, Ted. Ted, in regards to the first part of your question, so we know there's approximately 70 transplant centers that are responsible for about 80% of the transplants. And we already have relationship with many of those centers, including both their clinical experience with omidubicel through clinical trials and our EAP program. We had previously discussed and our approach has not changed that we see up to 25 commercial account managers to address the footprint of the transplant centers in the United States. And in addition, Ronit and her team will have medical science liaisons also. In regards to your second part of the question, let me turn to Ronit to discuss the number of centers in the United States that were part of our Phase III study.
Ronit Simantov: Sure. Hi, Ted. So in our clinical trials for omidubicel, which included both the Phase III trial and our previous trials in non-hematologic malignancies, total of about 19 centers in the U.S. who've had some experience with omidubicel over the past several years.
Edward Tenthoff: Great. That's really helpful. And just to kind of get a sense, how -- so I'm trying to get a sense sort of how many transplants that maybe fit within this 20% to 25% or just how many transplants are performed on a monthly or quarterly basis? Just again sort of the cadence of how many transplants get performed at the centers? Thanks.
Abigail Jenkins: So, Ted, I'll talk about the 20% to 25%. So, we talk about that as peak market share where we would estimate the addressable transplant population to be approximately 10,000 to 11,000 patients each year.
Edward Tenthoff: That's helpful. I can work it out from that. Thanks so much.
Abigail Jenkins: Perfect. Thank you, Ted.
Operator: Thank you. Our next question comes from the line of Jonathan Miller with Evercore ISI. Your line is now open.
Jonathan Miller: Hi, guys. Thanks for taking my question. And also I’ll echo -- congrats on the progress and upcoming PDUFA. I look to dig in a little bit into what you mean when you say the runway, cash runway will cover initial launch. What are some of the things you're thinking about there in terms of timeline of launch or maybe there are particular set of goals that you think you can cover? Obviously, Michelle has been doing a lot of work commercial here already. But can you talk about what you still have to do that's covered by your current cash runway and what you would need additional financing to reach after the initial launch phase is over?
Abigail Jenkins: Shai, maybe you start and then Michelle, you can chime in.
Shai Lankry: Hey, Jon. Good morning. Thank you for your question. So as we said, our cash runway is still mid-2023 and this excluding the commercialization of omidubicel, of course, beyond the initial launch activity that's already underway. This cash runway guidance does not take into account and it's a very important point, the Highbridge commitments letter of $25 million, which I can say is a side note, both parties are working very closely to bring this to the finish line soon. Launch activity is already being started and we are bringing and we are focusing to bring omidubicel to patients. We cannot comment today on current and future financing activities, but as you can imagine as anybody at the company, we are always evaluating our cash needs and continue to assess all financing options and tools to support our corporate strategy. We are committed for this product and committed to ensuring there is a solid financial runway for this company. Michelle, do you want to elaborate?
Michele Korfin: Yes, absolutely. And good morning, Jon. I'll start off with a very important point. We feel strongly at Gamida that upon FDA approval, we want to make sure that patients can have access to omidubicel. One of the very, very important parts of that is manufacturing. So the positive news is, our manufacturing facility is ready, we've been manufacturing clinical batches and we have the production and the quality and supply chain individuals in place for time of launch. What we are focused on now as Shai alluded to with the initial launch plan is the initial hiring of personnel predominantly in the United States that will be interfacing with transplant centers. We have our respective commercial medical affairs leadership teams in place, but now the initial part of launch planning is the hiring and also some operating expenses associated with the initial launch. We do anticipate in 2023 that we'll be ramping up transplant centers, because we do know that transplant centers do need a period of time after FDA approval to develop their processes for cell therapies once they see final prescribing information. So what we also will then do is, continue to ramp up our hiring as transplant centers ramp up. I'll clarify my answer to Ted's question, because I mentioned up to 25 commercial account managers will ramp up the hiring of those commercial account managers over the next few quarters.
Abigail Jenkins: Jon -- let me turn back to you Jon to see if you have any follow-up questions.
Jonathan Miller: Sure. Thanks. That's very helpful. I guess then beyond [OMI] (ph), maybe on GDA-201, do you have any more color on progress there? Are you still expecting to move the Phase II portion next year? And do you have any plans to present Phase I data before that time and maybe in time for folks to get a look at it before any potential financing?
Abigail Jenkins: Ronit, over to you.
Ronit Simantov: Thanks, Jon. So the GDA-201 study is proceeding in the Phase I portion. The dose escalation is ongoing, patients are being enrolled as prescribed by the protocol with the full evaluation of a dose limiting toxicity period of 28 days between each patient. And so, you can imagine that each patient is being evaluated over about a 28 day period, after which time the dose limiting toxicities can be evaluated and then dose escalation can proceed. This will take us as we escalate through four potential dose levels through next year. And we don't have any particular plans to share the outcomes of Phase I portion at this point, but we will continue to examine the results of that portion and see if there is an opportunity to share data before the end of 2023 for the Phase I. As soon as our dose -- a recommended Phase II dose is identified we will then be able to start our Phase II. We've already started to identify sites for Phase II and begin the operational activities to allow the Phase II to proceed as soon as the dose is identified.
Jonathan Miller: Okay. Thanks very much.
Operator: Thank you. Our next question comes from the line of Jason Butler with JMP Securities. Your line is now open.
Unidentified Participant: Hi, it's Ryan for Jason. Thanks for taking our questions. I guess just to follow-up on the very -- the last question. It sounds like the Phase III start is going to be a 2024 event, is that a likely assumption?
Abigail Jenkins: We haven't pinpointed exactly when the Phase II will start. It really depends on the identification of the recommended Phase II dose. If the dose occurred at a lower dose level than the highest dose and it could occur sooner, but it's driven by our progression through the dose escalation portion. In any case, most of next year will be spent in the Phase I dose escalation portion, after which the Phase II will begin.
Unidentified Participant: Okay, got it. Thank you. And then on omidubicel, how are you guys thinking about potentially partnering to supplement your own commercial efforts? And then what's the uptake then in the expanded access program?
Abigail Jenkins: Thanks, Jason. What I would say on partnering is that, we believe in commercializing omidubicel in the U. S. and we're very focused on getting ready for that potential approval. We believe that there is an opportunity for omidubicel access to expand beyond the U.S. into certain targeted ex-U.S. markets and we're actively engaging in exploratory conversations with potential partners to expand that access internationally.
Unidentified Participant: And then expanded access?
Abigail Jenkins: Ronit?
Ronit Simantov: Happy to take that one. So our expanded access program is open at six sites in the U.S. and it allows us to continue to treat patients until such time as the potential approval takes place. There's a continual interest in enrolling patients in that study amongst the investigators who are involved in the study. And there's a steady stream of patients, including patients from all those sites and we will continue to treat those patients until we have commercialization potentially.
Unidentified Participant: Okay, great. And then on the NK pipeline, I guess if the omidubicel launch advances as you guys expected to, when do you think you'll be in a position to nominate an NK pipeline candidate for an IND? Thanks.
Abigail Jenkins: What I would say is that, there will be a combination of information that we gather through our market landscape assessment and other things, as well as the data that we're generating on that early pipeline. So at this point, we're not prepared to guide to a specific date just that we're intending to move forward and identify an IND candidate at some point in the near future.
Ronit Simantov: And what I will say is that, the research is continuing and we continue to be encouraged by all of the candidates that are currently in the pipeline with some very exciting and interesting research going on in our development organization.
Unidentified Participant: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Gil Blum with Needham and Company. Your line is now open.
Gilbert Blum: Good morning. Just a couple of questions from us. So on your ASH abstract, there is a clear advantage in the neutrophil engraftment over the other modal they sent it over. Platelet engraftment seems more middling. How could this finding influence the potential hospitalization in these patients?
Abigail Jenkins: Ronit?
Ronit Simantov: Thanks, Gil. So yes, platelet engraftment is known to lag behind neutrophil engraftment. In general, platelet engraftment does lag behind. And it usually is not a factor in hospitalization because patients can receive platelet transfusions as outpatients. So generally what happens is that, after neutrophil engraftment takes place, almost universally that platelets have not engrafted yet. And if they reach a certain low level while they're being followed closely as patients, then they get a platelet transfusion as an outpatient. I will say, we have -- we've been able to -- we've noticed that in our clinical trials and have not had any sort of clinical sequelae from a lag in platelet engraftment. It's actually expected in all types of donor transplants, but it will take a little bit longer.
Gilbert Blum: Okay. Thank you for that clarification. And a separate question. So the NAM technology appears to improve metabolism of cells broadening. Have you guys given any thought on application outside of what you're currently pursuing in NK cells and OMI, particularly in a potential partnership?
Abigail Jenkins: Ronit?
Ronit Simantov: There has been interest from a number of different academic and other organizations in using our NAM technology for other types of cells. And those are discussions that we have on a case by case basis and may pursue at some point. We're focused on the work that we're doing now for the NK cells, which we believe are very promising and, obviously, omidubicel, but there is certainly a scientific interest and research interest in looking at other cell types. Some of our own work in the past also indicates that other cell types are amenable to the NAM technology. So stay tuned, yes, this is something of scientific interest and we hope to be able to get to that when the time is right.
Gilbert Blum: All right. Thank you for taking our questions.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Mark Breidenbach with Oppenheimer. Your line is now open.
Unidentified Participant: Hi. Good morning. This is Jacqueline from Mark from Oppenheimer. Our first question is in the ASH abstract. So it looks like there was a higher rate of acute GvHD for omidubicel versus the other graft sources. But at least most of it looks like it was a group two. Could you please comment on what factors might be driving the discrepancy? Thank you.
Abigail Jenkins: Ronit?
Ronit Simantov: Absolutely. So we did notice that there was more grade two GvHD in the umbilical core in the omidubicel group than in the other transplant groups. And interestingly, we believe that it's probably related to the earlier engraftment because GvHD is a process by which the donor cells recognize the host or the patient cells. And so that doesn't happen until the immune system comes back. The good thing about what we're seeing is that, it's mild GvHD, it’s grade two. When you look at grade three and four, those are the same throughout. So we don't believe that there is a concern here. We actually think it's a reflection of the recovery of the immune system which with omidubicel is not only faster, but it also is actually really durable based on the results of our immune reconstitution data.
Unidentified Participant: Thanks. Another question is on the EU regulatory path. Is there any analytic thinking about an EU regulatory path for omidubicel?
Ronit Simantov: I'm sorry, Jacqueline, I didn't hear your exact question.
Unidentified Participant: Yes, sorry. So is there any appetite thinking about an European regulatory path for omidubicel?
Ronit Simantov: I think you asked if there's any update, that way you asked.
Unidentified Participant: Updated thinking?
Unidentified Participant: Yes. So we're focused -- yes, okay. We're focused -- we're really focused on working with FDA to bring this to the therapy to patients in the U.S.. And we are excited and interested in opportunities internationally based on the data. And the fact is that, we enrolled many patients from Europe in our clinical trials. And so we have international sites and investigators that are interested. So we will strongly work on that, but we don't have any updates at this point about the regulatory interactions with the EMA.
Unidentified Participant: All right. Thank you. Thanks for taking our questions.
Operator: Thank you. I'm currently showing no further questions at this time. I'd like to hand the call back over to Abi Jenkins for closing remarks.
Abigail Jenkins: Our leadership team will be available after the call if there are any opportunities for follow-up discussions. We'll keep you current on all of our developments, and we thank you again for your interest and support in Gamida Cell. Thank you everyone for joining us on today's call.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.